Hidaka Yoshihiro: I'm Hidaka from Yamaha Motor Company. Thank you for making time in your very busy schedules for joining Yamaha Motor Company's earnings presentation today, and thank you also for your continued great understanding and support of our company's business activities. With that, I'd like to give our earnings presentation. Beginning with the first half year's key points. Please see page 4. With strong demand for the core businesses of motorcycles and marine products, we achieved record highs for net sales and operating income.Whilst core businesses performed well, robotics, although on an improving trend, was affected by a sluggish market. Next, looking ahead to the full year, the outlook for the business environment is strong domestic demand in emerging markets. The semiconductor procurement bottleneck is improving and this will be a tailwind for premium segment motorcycle model production. Ocean Freight under the logistic costs is reducing. Under low in exorbitant raw material costs is forecast. In the market, outdoor leisure demand in developed countries is settling down, but strong demand for motorcycles in emerging countries and large outward motors of more than 200 brake horsepower is expected to continue. On the other hand, inventory adjustments for E Bikes and the SPV business continue and recovery of the robotics market is expected to drag into the next fiscal year. We will continue to look at this mix of positive and some more difficult business, but we'll continue to adhere to breakeven point management. With the positive first half results and the benefit of the weak Yen, we are revising our results outlook upward to ¥2.5 trillion in net sales and ¥250 billion in operating income. Furthermore, as returned to shareholders, we will increase our annual dividend from ¥130 to ¥145. Next, our unit sales and inventory. Please see page 5. The table on the left is a comparison of unit sales of main products against 2022 results. Excluding Vietnam, where the motorcycle economy is receding, strong demand in various markets has led to an increase in unit sales and whilst small and medium sized outward motor models have reduced, larger models have exceeded prior year. ATV and ROV demand deceleration has reduced unit sales. For SPV, unit sales have increased on last year when there was supply chain disruption and e-Kit unit sales have increased. Unit sales of surface mounters to Asia have reduced. The graph on the right compares current market inventory against the appropriate level. For Vietnam and small to medium sized outward motors, where inventory exceeds the appropriate level, production adjustments are already underway; and in Europe, where motorcycle inventory imbalances have increased, we've started inventory adjustments. However, excluding Vietnam and the Philippines, low motorcycle inventory levels continue in the emerging countries. Next, our overall first half business results. Please see page 6. From the left, the table shows 2022 first half results, 2023 first half results, and difference to prior year. In the first half, results were net sales 115% on prior year at ¥1.2264 trillion. Operating income 139% on prior year at ¥142.8 billion. Ordinary income plus two points on prior year at 11.6%. Net income 125% on prior year at ¥144.8 billion. Net income attributable to owners apparent was 127% on prior year at ¥105.3 billion. EPS was 129% on prior year at ¥311.87. An increase in motorcycles and marine products increase sales and in addition to the big benefit from price pass through, the weak Yen was also a tailwind for a large increase in profit. Market foreign exchange rates are ¥135 to the dollar, ¥146 to the euro and emerging countries dollar exchange rates are as shown. Next, the outlook for 2023. Please see page 7. Taking into account the slowing cost increases for raw materials, the drop in Ocean Freight, changes in Forex rate assumptions and improved semiconductor procurement, we have made upward revisions to sales and income for casts. Net sales ¥2.5 trillion. Operating income ¥250 billion. Ordinary income ratio 10%. Net income ¥250 billion. Net income attributable to owners apparent ¥180 billion. EPS is forecasted ¥535.43. Our foreign exchange assumptions are ¥135 to the dollar, ¥145 to the euro and emerging country's dollar exchange rates are as shown. Next are the factors that affected the 2023 first half operating income. Please see page 8. As you can see, the sales increase made a large positive ¥37.8 billion contribution, which breaks down into positive ¥12 billion for volume increase, positive ¥41.7 billion for price ups. Positive ¥9.5 billion for unrealized profit, negative ¥3.7 billion in financial services and negative ¥21.6 billion for model mix and other factors and cost reduction minus ¥4.7 billion, which breaks down into positive ¥10.3 billion for cost down, negative ¥3.4 billion for growth strategy cost increase as well as minus ¥14.6 billion for SG&A expenses increase and positive ¥25.1 billion for Forex. The positive effects of phased price rises since last year have spread and by appropriate control of SG&A expenses, there's been a big increase in income. The exorbitant raw materials prices of the last two years are on a softening trend. Next, shareholder returns. Please see page 9. Keeping in mind the results outlook and investment in future growth, we aim for stable and continuous dividends. In line with cash flow volumes, we will be flexible in shareholder returns aiming for a cumulative midterm plan total payout rate of 40%. In 2023, with the revision to our outlook, we are increasing the annual dividend forecast per share by ¥15 from ¥130 to ¥145 for the year. For me, this will be the final slide regarding progress on medium to long term measures. Please see page 10. First, we've made a step forward in the business restructuring that was presented at the quarter one earnings presentation. We've concluded a business transfer agreement for multipurpose engines, generators, and snow blowers. Similarly, based on portfolio management, we've decided to withdraw from swimming pool and snowmobile businesses. We are studying a merger with a subsidiary to enhance EV products development. We've made progress on carbon neutrality too. To promote basic search of internal combustion engines to leverage hydrogen for small mobility, I've contacted various Japan domestic motorcycle companies to establish a research association. Finally, progress on a new business that aims to solve mobility challenges faced by regions without access to public transportation. For the first time in Japan, A level 4 autonomous driving mobility service started operating in Eiheiji Town Fukui Prefecture to which our company provided vehicles, and we were also in charge of technology and control systems for vehicle control. Next, Mr. Shitara will present details by business segment.
Shitara Motofumi: I am Shitara, and I'll be explaining about the details by business segment. Please look at page 12. This shows you the net sales and operating income by business in the first half and outlook for the whole year. Land Mobility business, motorcycle RV, SPV as well as marine business and other products have seen an increase in both sales and profits. Financial Services have seen an increase in sales, but a decrease in profits. Robotics have seen a decrease in both sales and profits. Using the following pages, I would like to give you the details. First, our core business, motorcycles. Please look at page 13. The left hand top graph looks at the major region's total demand year on year and the right hand graph looks at the net sales by region. In markets -- in the markets, domestic economy was strong in Indonesia, India, and the Philippines, and total demand went up. In Europe, as supply improved, as also in the United States supply improved and replacement demand went up, we see a total demand growing. Now about the Yamaha Motor. The shipped amount went down in some areas including Vietnam, but globally the shipped amount was above the previous year. As a result, in the overall motorcycle business, we have seen an increase in net sales. Operating income. Because of the volume impact and also the effect of pass-on on prices and easing of cost increase effects, we have seen an increase in profits in the second half with NMax and other premium scooters, we will continue to ship out. Therefore, the whole for the whole year, we expect to achieve above the initial expectations. Please look at page 14. NMax and other premium scooters have been impacted by the semiconductor shortage. However, with improvement in procurement, gradually we were able to increase production and from October onwards we are planning to increase production further and we will be able to deliver our premium scooters to as many customers as possible. So please look forward to our performance. Next, marine products. Please look at page 15. The left hand top graph looks at the US market. The outboard motor retail registration year-on-year comparison and the right hand graph looks at net sales by products. US market, there's a concern of economic slowdown and for small and medium range outboard motors demand has decreased. However, on the other hand, for 200 horsepower and above large outboard motors demand has increased over the previous year. Now looking at Yamaha Motor. Large outboard motors, we see continuing strong demand and shipment has increased year-on-year. Whereas for small and mid-sized outboard motors, we have seen shipment go down and from the second quarter we have cut back on production. In ASEAN and the Chinese market, we see recovery in fishery and tourism industry and shipment has gone up. Also, for water vehicle, demand is increasing and we have seen improved production efficiency and therefore shipment has gone up. As a result, for the overall marine business, we have seen an increase in net sales and for operating income because of volume skip of higher volume and price pass on effect we have seen an increase as well. For the second half, we will continue to cut back production on small and medium sized outboard motor and we will try to achieve appropriate inventory level. For the large outboard motors, in the horsepower range where demand is strong, we will increase production but we will also keep an eye out on the market trends. For the whole year, we believe we are roughly in line with our original forecast. Next RV and financial services. Please look at page 16. Left hand side is our RV business. Demand is slowing, however. In the US factory, our production efficiency is improving and therefore we see an increase in both sales and profits. In the second half, we will replenish inventory and we believe we are on track of our original forecast. Right hand side is financial services. Retail and wholesale finances have increased and in all regions, sales finance receivables have increased and we have seen an increase in sales. On the other hand, because of interest rate increases, we have passed on to prices. However, the interest rate increase is very fast and the funding cost has gone up and also because of the increase in receivables we need to have more allowance for bad loans and with the impact of the interest rate swap valuation loss, we have seen a decrease in profit. In the second half, because of interest rate fluctuation and increase in risk of economic slowdown, we are expecting a lower down initial forecast result. Finally, our growth business SPV and robotics business. Please look at page 17. On the right hand -- excuse me left hand side is the SPV business. The surplus of market inventory therefore we have may be making product -- production adjustment in our complete buildup and e-Kits but compared to the previous year, which was impacted by the Shanghai lockdown, we have seen an increase in the shipped amount of e-Kits and sales and profit both went up. In the second half, we will continue our inventory adjustment but we expect -- so we would expect a lower than forecasted results and also a decrease in sales and profit year-on-year. However, we will continue our investment in the mid-to long-term growth areas. Right hand side is a robotics business. In developed markets, demand for automobile and industrial equipment is still strong. However, the sluggish Chinese market is impacting and therefore we see a drop in sales and profit in the second half. Also, the Chinese market recovery may be slow and therefore we are expecting a lower than a forecast results. So that was our earnings presentation for the second half of fiscal year 2023. Thank you very much for your kind attention.
End of Q&A: